Operator: Good morning.  My name is Michael and I will be your conference operator today.  At this time I would like to welcome everyone to the first quarter 2009 financial results conference call.  All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and-answer session. (Operator Instructions) I would now like to turn the call over to Mr. Joe Dorame.
Joe Dorame: Good morning.  Thank you for joining us today to review the financial results for AZZ Incorporated for the first quarter of fiscal year 2009 ended May 31, 2008. As Michael indicated my name is Joe Dorame with Lytham Partners and we are the financial relations consulting firm for AZZ Incorporated. With us today on the call representing the company are Mr. David Dingus, President and Chief Executive Officer and Mr. Dana Perry, Chief Financial Officer.  At the conclusion of today’s prepared remarks we will open the call for a question-and-answer session. Before we begin, I would like to remind everyone this conference call contains statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995.  Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed form time to time in documents filed by the company with the SEC. Those risks and uncertainties include but are not limited to changes in customer demand and response to products and services offered by the company including demand by the electrical power generation market, electrical transmission and distribution markets, the industrial markets and the hot dip galvanizing markets, pricing and raw material costs including zinc and natural gas which are used in the hot dip galvanizing process, changes in the economic conditions of the various markets the company serves foreign and domestic, customer requested delays of shipments, acquisition opportunities, adequacy of financing and availability of experienced management employees to implement the company’s growth strategies. The company can give no assurance that such forward-looking statements will prove to be correct.  We undertake no obligations to affirm, publicly update or revise any forward-looking statements whether as a result of information, future events or otherwise. With that having been said I’d like to turn the call over to Mr. David Dingus, President and Chief Executive Officer of AZZ. David?
David Dingus: Thank you, Joe and thanks to each of you for taking the time to join us today for the conference call for the first quarter and our fiscal year 2009. For the three month period ended May 31 when compared to the prior year, revenues increased 33%.  Net income is up 144%.  Earnings per share increased 141%. We continue to benefit from strong market conditions, favorable product mix and expanded served markets.  International opportunities continue to play an important role in our growth potential. Total incoming orders for the quarter were a record setting $106.9 million while shipments for the quarter totaled a record setting $100 million, resulting in a book to ship ratio of 107% for the first quarter.  There were no significant international orders received in the first quarter of FY09. Domestic backlog increased 19% when compared to one year ago and total backlog was up 6.9% when compared to the February 29, 2008 backlog.  93% of our backlog is expected to ship in the current fiscal year and of the backlog of $14.8 million 19% is expected to be exported from the U.S. Quotations activity and project opportunities continue at a very excellent pace.  However, as we have said before the timing of these orders, particularly large international orders, has been slower than desired.  We still anticipate that we will have the opportunity to secure an increased level of international bookings in the first half of our current fiscal year. Galvanizing demand remains strong and tonnage of steel galvanized shipments increased 42% for the first quarter.  This increase was partially offset by a 3% price decrease during the first quarter.  The acquisition of AAA Galvanizing accounted for 70% of the quarter-over-quarter revenue increase. Operating margins for the electrical industrial products remains strong with margins of 15.3% reflecting our ability to continue to price to recover escalating costs.  Operating margins for the galvanizing services segment was extremely strong with margins of 27.9%, an increase of 1.9% over the prior year.  Customer demand remains strong which facilitated minimal price concessions and we benefited from lower costs included in our cost of sales. As a company our accomplishments have improved and we continue to double and re-double our efforts to secure more profitable business and effectively and efficiently execute on that business.  Our continuous improvement programs combined with aggressive marketing programs have had a very positive impact on our operating results.  We believe that these efforts that the leverage gained from additional volume has very positively impacted our operating results. Subsequent to the quarter end we signed an agreement to acquire a strategically significant company for our electrical and industrial products segment.  We signed an asset purchase agreement with Blenkhorn and Sawle Limited, a privately held company located in St. Catherine’s, Ontario, Canada.  The acquisition is anticipated to be accretive and to be effective July 1, 2008.  The purchase price was approximately $14 million in cash plus assumption of certain current liabilities. Blenkhorn and Sawle has been a premier supplier of electrical equipment since 1948.  As a customer turnkey solutions provider and certified professional engineering house they supply products to the major utility companies, oil and gas, oil sands, mining, industrial as well as the nuclear power industries.  The acquisition will complement AZZ’s current product offering and expand our served market.  This acquisition should provide additional potential for continued growth and expansion of the electrical and industrial product segment for the growing Canadian market. Revenues for the first full year of operations should approximate $20 million and as we said it is anticipated to be accretive from the beginning of consolidation. The completion of an excellent record setting quarter, positive market outlook, financial strength of the company, strategic acquisitions and a great group of employees results in a very optimistic outlook for our company.  We are keenly aware of the challenges brought about by volatility in raw material pricing, the uncertainty of the U.S. economy and the competitive nature of our business environment.  We do believe that we can successfully navigate through these challenging conditions as we have effectively done in our past. Now with that as an overview of our results Dana will now review with us the operating results for the first quarter of our new fiscal year.
Dana Perry: Thank you, David.  I would also like to welcome each of you to our first quarter conference call and at this time I will review our unaudited, consolidated results for the period ending May 31, 2008. For the first quarter, financial results remained strong as AZZ reported record revenues for the quarter of $100 million as compared to $75.4 million in the prior year and net income for the quarter increased 33% to $10.1 million which compared to $4.1 million in the prior year. Diluted earnings per share for the quarter increased 141% to $0.82 compared to last year’s $0.34.  We are extremely pleased with our first quarter results and our strong operating performance in both segments of our company combined with lower SG&A expenses allowed us to record record revenues setting [for subsidy].  We continue to maintain strong quotation activity and project opportunities in our electrical and industrial segment helped us achieve a book to ship ratio of 107/1 for the quarter. Our galvanizing segment continued strong demand and good pricing realization allowed us to achieve record setting results.  Our SG&A expenses were $4.3 million lower this quarter as compared to the same quarter last year due to decreased compensation expenses related to our stock appreciation rights programs.  Our interest expense increased due to higher levels of debt resulting from our $100 million note placement on March 31 that was associated with the acquisition of AAA Galvanizing. Our electrical industrial segment generated 2% of our revenues for the quarter while our galvanizing services segment generated 48%.  We anticipate that 54% of our revenues for fiscal 2009 will be generated from our electrical industrial products business and 46% will be generated from our galvanizing services segment. At this time David will give us an overview of the electrical industrial products segment.
David Dingus: The demand for our power distribution and motor control centers remains strong.  Spending related to energy infrastructure rebuilds, expansions and upgrades continue.  The demand for our metal clad outdoor switch gear products is outstanding.  Utility distribution substation orders continue to improve and the growth in this market is most encouraging. Quotations which utilize our high voltage BUS systems were again at excellent levels and reflect strong domestic and international demand.  We continue to operate at record setting levels.  The power generation market is very encouraging.  The announced build schedule of new domestic and international generation plants, domestic emphasis on renewables such as wind and solar, and the addition of scrubbers to the existing facilities has continued to positively impact our market and orders and is anticipated to continue in future quarters. Our specialty lighting products have seen and should continue to see strong results and orders and shipments of our tubular products to the petroleum market was consistent with prior periods. Dana will now cover the operating results of our electrical industrial products segment.
Dana Perry: In our electrical industrial products segment we recorded record revenues for the quarter of $52 million as compared to our prior year results of $40.9 million.  Our increased revenues were generated as the result of continuation of improved market demand primarily from our high voltage transmission, power generation and utility distribution and energy infrastructure markets.  Operating income was $7.9 million as compared to $6.3 million which resulted from higher volumes as the result of favorable market conditions.  Operating margins were 15.3% for the quarter compared to 15.5% for the same period last year.  We continued our emphasis on booking business at specifically targeted marketing levels, pursuing price increases to recover the increased cost of materials. Our challenge continues to be to expand our markets while maintaining our strong operating performance.  We are pleased we were able to announce the signing of a definitive agreement to purchase the assets of Blenkhorn and Sawle Limited on June 26.  This acquisition should add in excess of $20 million as David indicated in revenues during our first full year of operations and should be accretive to our earnings per share in our current fiscal year. At this time David will cover our galvanizing segment.
David Dingus: Zinc costs in the last few weeks has been in the $0.85 price range.  With overall demand being strong we have been able to minimize the impact this decrease has had on pricing.  The average cost of zinc in our kettles approximates the current cost of zinc at the end of the first quarter.  Our strategy is unchanged and we will continue to resist downward pricing pressures.  Revenue dollars will potentially be impacted in future periods as market pricing is required to be adjusted as the result of reduced demand and/or reduced zinc costs. We continue to operate in very favorable market conditions and are maximizing our market share growth that can be achieved by providing a superior level of service and support to our customers.  We are pleased with our initial integration of AAA into our network of plants. Their performance for the first few months is consistent with what we had anticipated. There does remain concern of the economic impact of economic conditions and increased cost of steel and the impact this may have on our customers and their demand for our galvanizing services.  This issue combined with the seasonal winter impact on our North Central U.S. facilities may result in lower fourth quarter demand. Dana will now give us a review of the key operating statistics for this segment and then cover the key balance sheet items of the company.
Dana Perry: Revenues in our galvanizing segment for the quarter were a record setting $48 million, an increase of 39% compared to $35.4 million recorded in our first quarter in fiscal 2008. Revenues in our first quarter were favorably impacted by the acquisition of AAA Galvanizing which represented 70% of our 39% increase as well as increased production levels in our existing facilities.  Increased volumes of steel shipped as compared with the same quarter last year as well as our favorable product mix helped us to maintain our strong pricing levels for the first quarter. Operating income increased 55% to $13.4 million compared with $8.6 million in the prior year.  Increased operating income resulted primarily from higher volumes primarily due to the acquisition of AAA and the lower cost of zinc.  Operating margins increased to 27.9% compared to 25%.  As we have stated before increased volatility and future zinc prices could have an adverse effect on future revenues and earnings. At this time I will cover some of our key cash flow and balance sheet items. For the three month period cash provided by operations was a negative $1.9 million compared to a positive $7.7 million in the prior year.  Working capital needs have increased to $104 million at the end of our first quarter compared to $60 million at the end of February due to our increased business levels.  Receivable days outstanding and inventory turns remain strong.  Accounts receivable days outstanding were 46 days at the end of the first quarter compared to 49 at the end of our fiscal last year. Year-to-date capital improvements were made in the amount of $4.8 million.  Depreciation and amortization amounted to $3 million for the first quarter.  Our total outstanding debt at the end of the quarter was $100 million and that was again associated with our AAA acquisition. At this time I will turn the conference call back to David for closing comments and then we will open for our question-and-answer session.
David Dingus: We are extremely pleased with the results of our first quarter.  The aggressive steps we have taken in seeking marketing opportunities, improving our distribution channels, maintaining or improving our operating income levels and percentages are all reflected in our improved operating results and we set another record year both in quarterly sales and earnings. The signed agreement to acquire Blenkhorn Sawle in St. Catherine’s, Ontario, is a result of our continued efforts to execute our stated strategy to seek out additional products which complement our existing product offerings to the electrical industrial customers.  The completed acquisition of AAA Galvanizing is a reflection of our stated strategy to expand geographic coverage for our galvanizing services segment.  The strength of our balance sheet has facilitated these actions and we believe can support further actions.  Our products and services are well positioned to continue to benefit from a strong infrastructure rebuild and replacement market which includes the aging distribution substation and the transmission grid. The much needed expansionary spending needed in the petro chemical market and the strength of the power generation market has enhanced these gains.  While we anticipate the current market demand will continue the timing of projects and release of orders will always have an impact on the quarterly recognition of bookings, backlogs, revenues and earnings and will result in quarter-to-quarter fluctuations which may be greater than true changes in market demand and our competitive position and our competitive successes. Based upon the evaluation of information currently available to management an accounting for the favorable 11-month impact of AAA Galvanizing acquisition and the favorable accretion anticipated in the 8-months of Blenkhorn and Sawle acquisition, we are pleased to project an increase in our revenues and earnings guidance.  We are now projecting that fiscal 2009 revenues will be between $410 and $425 million and earnings per share will be between $2.95 and $3.05.  We continue to build upon the success we have been able to achieve and continue to strive to enhance the performance of the company. Our estimates assume that we will not have any significant delays in the delivery or timing and the receipt of orders of our electrical industrial products or there will not be any significant change in galvanizing demand prior to the fourth quarter of fiscal 2009. Again, thank you for your participation today.  We’d like to open it up to any questions you might have at this time.
Operator: (Operator Instructions) Your first question comes from Ned Borland - Next Generation Equity Research.
Ned Borland: Just a couple of questions on the guidance.  What has shifted most favorably in terms of taking your guidance up roughly $0.60?  Is it more optimism about perhaps some stability in the galvanizing market?  It seems that is the biggest bell to hear from the beginning of the year.
David Dingus: That would be the largest contributor, Ned.  As we have said based upon the information provided to us from the customers and the strength of their business our ability to date to hang on the price despite the change in zinc lets us believe that gives us pretty solid outlook for second and third quarter.  As I indicated our question now is what will the impact of steel prices be on demand and then you have to factor in some factor for the seasonal impact of our northern operations which we believe and have been forecasting will begin to show up in the fourth quarter.  That is delayed from our previous guidance, Ned.
Ned Borland: I guess on the competitive factors here, given that zinc has fallen below $1.00 and that is a level where you start to get some resistance from customers on price, pricing only coming down 3% that is sort of surprising.  Are you seeing any competitors reducing price in line with that or even more than that?  What are you seeing out there?
David Dingus: The published results of some of the public companies show to be as high as 5.2% but we believe that is pretty consistent and we have not see any widespread decreasing of price because of the demand on the galvanizing industry itself which continues to hold up that pricing.
Ned Borland: On the demand side are there a lot of large galvanizing projects you are associated with?  Is there a specific end market out there, say petro chemical, that is really driving this tonnage volume?
David Dingus: Petro chemical is extremely strong and when we factor in all of the distribution of the customers on AAA petro chem is now going to be 21% of our total projected volume.  Now the electrical and telecommunications remains very strong at about 24% of our business and then when we factor in the OEM’s, which is the heavier piece of AAA that is going to be about 21% and that is holding together very nicely.  So we still think we’ll get about 29% of our total volume tied in the industrial side and we think that is the first place we’ll see some weakness because those projects tend to have to go out to re-bid if steel increases significantly.  That could impact the fourth quarter and that is incorporated into our guidance.
Ned Borland: Switching over to the electrical side of the business you mentioned last call that there were roughly five international projects out there and you kind of alluded to them in your comments.  I’m just wondering…you said you were confident about three of them.  Has anything shifted there or are you more optimistic about some of those projects?
David Dingus: We are pretty optimistic about two of them.  The one going from three to two given the timing issue and not because of a loss of potential.  We think we have an opportunity to book two nice international orders yet in the first half of this year.
Ned Borland: The remaining three or so?  Would that be maybe second half or maybe next fiscal year?
David Dingus: Due to the size of a couple of them, Ned, it wouldn’t surprise me if they slid all the way to the next fiscal year.
Operator: The next question comes from the line of Brent Thielman – D.A. Davidson.
Brent Thielman: I guess my first question I was a little surprised to see the electrical revenues up as much as they were.  Was that just a function of pricing or volumes?  Any sort of color you could provide there.
David Dingus: If you recall we talked about in the fourth quarter we said that some of the lower projections there were not a reflection of the market they were just timing differences going on.  So we have said business has slid from the fourth quarter into the first quarter and then we didn’t have any significant slides from the first quarter into the second quarter so it is more of a timing and shipment of the backlog and not really a reflection of the change on demand.
Brent Thielman: On the Blenkhorn acquisition I’m assuming you’ll be using the excess cash from the private placement.  Is there any additional financing you need to do here for that acquisition?
David Dingus: No there is not.  Funds are available from the $100 million private placement.
Brent Thielman: Any sense you can give on the margins and just the backlog profile of the business?  You don’t have to give me an exact number but is it better or worse than a year ago?  Any sense there on what is going on with Blenkhorn.
David Dingus: Their backlog is greater than a year ago and the margins are improved from a year ago.
Brent Thielman: Are they sort of similar margins to your electrical products business?
David Dingus: Yes they are. They are very similar because the products match up very closely to our distribution substation products, to our power distribution center and motor control centers so they meet all of the Canadian standards.  They are enjoying a very favorable market right now.  So all the factors are pointing towards that.  Very strong operating margins and a very strong backlog.
Brent Thielman: On the guidance, does that include any impact from some of these impending international orders you could book?
David Dingus: The pending international orders are going to impact the first quarter shipments of next fiscal year.  So it is more an issue of building our backlog for 2010 than it is impacting 2009.
Brent Thielman: Last question, as you await some of these impending electrical orders are you seeing other types of projects flow in here that you are looking at in 2010 that look interesting beyond just the five that have been discussed the last couple of quarters?
David Dingus: Yes we are.
Operator: The next question comes from the line of John Franzreb - Sidoti and Co.
John Franzreb: I was looking at the electrical margins.  You had a great quarter on revenues but the margins sequentially dropped from the previous quarter.  Can you talk to us about what happened there and why you had the weaker margin despite strong sales?
David Dingus: It is just nothing more than mix within quarter to quarter.  As I said in my statements John we are still recovering our escalating costs in there.  There was nothing of a surprise on any single order that shipped in that quarter and margins came in exactly as anticipated. So it was just a mix between products.  A little heavier quick turn stuff in the previous year ago than there was in this, but no fundamental change in our cost price relationships at all.
John Franzreb: I wasn’t referencing a year ago, I was sort of referencing the February impact in May.
David Dingus: Right.  Again, as I said the same applies to both.  There has not been any fundamental changes in structure it is just the mix that went through.
John Franzreb: Could you talk a bit about the pricing environment out there?  Has it stabilized?  Is it firm?  Can you talk a little bit about pricing on the electrical side of the business?
David Dingus: The pricing is up but it is only up because of the impact of increased componentry.  I don’t think the competitive conditions have improved nor have they worsened.  I think they are pretty consistent with what they were in the prior quarter but the actual product price has gone up for all of us specifically because of increased costs of copper, aluminum, steel and all of the components associated with it.
John Franzreb: Blenkhorn, when I look at the company’s products it seems to be like they are very similar to what you do already.  What do they bring to the table that you don’t already have?
David Dingus: First of all they are a local manufacturer and a major supplier to the Canadian market.  All of their products carry the Canadian standard and specifications and meet all the requirements of the local utilities and just give us a real foothold from being a local supplier to a very dynamic market.  We talked about it before, John.  The products these are the most difficult to export because they are bulk and size.  We have said all along if we are going to expand some of these great products into these international markets we’re going to have to do more in local content and local production because they just don’t lend themselves to a high level of export.
John Franzreb: In the increase of your earnings forecast how much of that represents contribution from Blenkhorn?
David Dingus: $0.05 from Blenkhorn.  In total accretion from both acquisitions will be $0.20.  We expect approximately $0.15 from AAA and $0.05 from Blenkhorn.  Of course the AAA was in my previous guidance.  That is attributing a portion of the interest cost to them so that is net of interest.
John Franzreb: One last question.  You kind of raised the bend of what you call the historic margins in the galvanizing.  2004 and 2005 it was 18% but you have kind of raised it now to 18-22%.  Are you essentially putting a floor now on your galvanizing expectations at 22%?
David Dingus: No.  What I was attempting to say is what we consistently have said for the last 4-5 years.  If you take the last ten years of operating for us and you had to say what is a historical number it has been in the range of 18-22%.
John Franzreb: If I averaged up the last 10 years that is what I would get?
David Dingus: I’m saying if you take out the one-time gains associated with the zinc cost changed we talk about on and on and on we believe the historical measure of this business not only from our numbers but from industry numbers is in true definition 18-22% number.  As long as we are able to have the high demand we do and the high volumes we do paying on to price, yes it will exceed that historical number.  What I’m trying to say is there has not been, we don’t believe, a permanent structural change to the margin generation of this business.
John Franzreb: Remind me, I guess it is about 12% organic volume growth.  What was the number one driver in galvanizing?
David Dingus: Well, 70% of our change is due to AAA.  Minus that it was very strong petro chem., very strong electrical and telecommunication and our OEM business has been outstanding.
Operator: The next question comes from the line of Fred Buonocore – CJS Securities.
Fred Buonocore: I just wanted to touch base on the Blenkhorn acquisition again.  Just to be clear, margins on the acquisition are higher than the current company if I caught that correctly?  Also have you identified any synergies that could bring those margins even higher?
David Dingus: What I said is the margins have improved over prior periods for the current period and they are margins very similar to margins generated in the U.S. which is encouraging for us because we think that is very sustainable.  The ability and contribution we might see is our ability to continue to grow the volume.  As we talked about before we think there may be some leverage points there but the synergies are going to be on our ability to provide a more complete product to the total market from the combination of U.S. supplied and Canadian supplied.  So, we are more optimistic about ability to impact the top line than we are on any synergistic impact on margin.
Fred Buonocore: On the galvanizing side, have you been hedging natural gas or are you basically managing the rising costs of natural gas in long-term contracts?  How are you handling that?
David Dingus: Most we did was 6-12 month contracts.  About 50% of that, the part that isn’t is just in the local area where there is not a supplier which will offer you a contract.  So the bulk of it is we are under 6-12 month supply agreements.
Fred Buonocore: Not to beat the galvanizing margin range to death but can you talk about that historic 18-22% range and clearly the quarter was significantly higher than that.  How should we think about how much higher it could stay throughout the year?
David Dingus: Our guidance assumes the margins for this year will be between 23-24%.  We anticipate them to be stronger than that and then we’ll see the correction we think in the fourth quarter due to a little lower volume so we lose a little bit of leverage there.  A little more pricing pressure if there is a demand decrease we anticipate and zinc stays in that below $1 range which we anticipate it is going to do.  For the total year on a blended rate we think it is going to be about 23-24% which is pretty close to what it was last year.
Operator: The next question comes from the line of Noah Steinberg – Intrepid Capital.
Noah Steinberg: I just wanted to ask a question on the galvanizing operating margin.  I was under the impression that AAA was operating at a lower operating margin than your business and it seems that you were able still to grow the operating margin in the quarter.  I was wondering if you were able to find synergies ahead of expected time lines and whether there is more to come in the coming quarters?
David Dingus: Again, yes there has been some modest increases but the bulk of the increase in the margin is due to our ongoing operations where we have anticipated more pricing pressure which we haven’t seen.  When we talked last time we expected AAA Galvanizing margins to be in the 14.5-15% range and the first few months yes it is average 16-16.5% or so but we’ve still got a lot of work cut out for us to bring it up to par for that.  As I have said before we  are very pleased with the progress to date and we still believe confidently in our ability to bring that up to traditional levels.
Operator: The next question comes from the line of JD Paget – The Boston Company.
JD Paget: My question is on the international orders you are pursuing could you remind us what end markets those are again?
David Dingus: They are in the power generation and high voltage transmission line, primarily into the Chinese market, the Middle Eastern market, the Canadian market and to a lesser degree in the South American market.
JD Paget: Those are something you could manufacture and ship from plants domestically or do you need some strategy to have manufacturing partnerships or capabilities on the ground there?
David Dingus: We believe we can continue on our power generation and on our high voltage transmission products to continue to export those.  As we have mentioned earlier with the Blenkhorn and Sawle we have always had difficulty in exporting our distribution products which that has facilitated.  But we don’t think right now that will require any foreign based manufacturing.
JD Paget: Just because of the reputation for quality you are able to compete for those orders against indigenous suppliers that probably aren’t as well regarded?
David Dingus: In most of those markets there are not indigenous suppliers for our products.
JD Paget: The other question was with respect to the acquisitions that you have made recently and maybe more so on the galvanizing side.  Is there an appetite on your part to continue to pursue those?  Or are the last ones you made just an opportunistic fit for you?
David Dingus: It was a very strategic, targeted account.  There are other opportunities which we have strategically targeted for galvanizing.  There are other projects that we have strategically targeted for electrical industrial. We do not believe we have exhausted our balance sheet power in order to go after some and we would enjoy the opportunity to expand both of those further.
JD Paget: On the galvanizing side when you make an acquisition is there room to take out some of the SG&A costs at the company you acquire or is that stuff pretty much left alone?
David Dingus: We pretty much leave it alone.  In fact in some cases we actually increase the SG&A coverage because of our heavier emphasis on sales, marketing and tighter financial controls.  But our success has always been on adding more volume and just sharing of best practices from our existing locations.
JD Paget: The final question, are there areas that you’d like to broaden the E&I product portfolio into or acquisitions from here more to build on and strengthen what you already do?
David Dingus: I think it is just how do we participate more in the power generation and transmission distribution markets?  Would we like them all?  As we have stated some require a bit different strategy than the others as evidenced by our Canadian acquisition but we are encouraged about the long-term outlook for all of those markets and we’ll look to find ways to, as we have always said, sell more of existing products and the opportunity to expand the customer base where we have the opportunity to sell the existing products.  So, we think it is a great time and we are encouraged about our commitment to those markets.
JD Paget: Would any other acquisitions be designed to get a foothold with the manufacturing base internationally or are you happy with the configuration now?
David Dingus: As we have said before the additional acquisitions related to distribution products will more than likely be the acquisition of a foreign based company.
Operator: The next question comes from the line of Jim Schwartz – Harvey Partners.
Jim Schwartz: I’m just curious if you could just go over wind exposure and where you guys see that going?  Just alternative energy in general for you and where we are on wind right now?
David Dingus: We don’t see anything that is lessening the desire to generate a 10-20% of our energy long-term from renewable resources.  There is a lot of issues related to that and naturally we are dependent on tax credits at the current time.  There are some restraints on some of the wind projects and the ability to get it into the grid and delivered to the other.  So we think thee is going to be naturally growing pains and some starts and lumpiness initially but we are pretty optimistic and we like the market that is going on and any time we are developing more domestic sources for our long-term energy needs it is encouraging for us.  It is not anything we believe is just going to be an escalating ramp that is just going to turn the industry upside down.  Now if you talk to a turbine manufacturer they will tell you that’s just not the case but I think as it settles down and it becomes more of an accepted part of the long-term source of power for us I think it is good news for AZZ.  I think it is good news for the country and I think it is good news for our industry.
Jim Schwartz: Specifically, is it a piece for backlog?  Is it something you guys are seeing some upside in orders from?
David Dingus: Yes and it has been a consistent thing for probably about the last 24 months that we have seen that and it continues to be very encouraging.  The order stream has continued probably about the same pace and increasing probably 5-10% a year but the announced projects has gone up exponentially.  That is not converted in the backlog yet but we believe it will be.
Operator: The next question comes from the line of Brent Thielman – D.A. Davidson.
Brent Thielman: Just one follow-up.  On the recent quarter and some of the bookings you had there on the domestic market is that more on the utilities side or is it in industrial, oil and gas areas?
David Dingus: I’m sorry, the increase we had in domestic backlog?
Brent Thielman: The new bookings you have in the U.S.
David Dingus: It was spread very nicely between the two. It wasn’t geared towards one or the other which was most encouraging to us.  It came nicely across the utility for distribution, transmission and generation and then yes there was continued strength in the oil and gas side on the industrial for our electrical.  So very, very balanced and real encouraging.
Operator: There are no further questions at this time.  I will now turn the call back over to Mr. David Dingus.
David Dingus: Thank you and thanks to each of you for participating today.  It was a pleasure and we look forward to talking to you in three months.  Have a great day and a great weekend.
Operator: Ladies and gentlemen thank you for dialing in for today’s conference call.  You may now disconnect.